Operator: Good day, everyone. And welcome to ModivCare Inc.'s Fourth Quarter and Full Year 2024 Finance Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note the conference call is being recorded. Today's speakers will be Heath Sampson, ModivCare Inc.'s President and Chief Executive Officer, and Barbara Gutierrez, ModivCare Inc.'s Chief Financial Officer. Before we get started, I'd like to remind everyone that during today's call, management will be making forward-looking statements under the Private Securities Litigation Reform Act. These statements involve risks and uncertainties and other factors that may cause the actual results or events to differ materially from expectations. Information regarding these factors is contained in today's press release and in the company's filings with the SEC. We'll also discuss non-GAAP financial measures to provide additional information to investors. A definition of these non-GAAP financial measures and the applicable reconciliations to their most direct comparable GAAP financial measures is included in our press release and Form 8-Ks. A replay of this conference call will be available approximately one hour after today's call concludes and will be posted on our website modivcare.com. This afternoon, Heath Sampson will begin with opening remarks, and Barbara Gutierrez will review our financial results and guidance. Then we'll open the call for questions. With that, I'll turn the call over to Heath.
Heath Sampson: Thank you, operator, and thank you all for joining us today to review our fourth quarter and full year 2024 results. I'm joined today by Barbara Gutierrez, our Chief Financial Officer. Today, I'll begin by outlining the current state of our business, reviewing our Q4 and full year 2024 performance. Then I'll walk through the recent steps to strengthen our capital position before diving into key updates and value drivers across our business segment. After that, I'll turn the call over to Barbara, who will provide details on our capital raise, full year performance, and Q4 results before we open the call for questions. 2024 was a perfect storm for payer services companies focused on Medicaid and Medicare Advantage. This industry faced unprecedented disruption from Medicaid redetermination, increased health care utilization, and MA reimbursement cuts. Challenges that clouded visibility, disrupted cash flow, and created significant financial strain across the sector. The impact on our performance in working capital was severe, requiring us to navigate painful pressures pushed down from our clients, leading to unpredictable revenue shifts and overall market volatility. These external disruptions were challenging, but we have successfully navigated through them by reducing costs significantly and also strengthening long-term partnerships with our clients. And all this turmoil is now behind us. At the same time, we built a strong foundation. Our three differentiated segments are fully integrated, operationally optimized, and competitively positioned within the health care ecosystem. That foundation is set, and our path forward is clear. We will further strengthen our balance sheet by monetizing select platforms that are now ready to thrive, leveraging our proven competitive position and strong market demand. As we execute our strategy, we will reduce debt, sharpen focus, and solidify our market-leading position, unlocking and driving stakeholder value and equity value. Specific to the financial results, our fourth quarter demonstrated progress, with revenue of $702.8 million, bringing our full year revenue to $2.8 billion. Our adjusted EBITDA for Q4 was $40.4 million, totaling $161.1 million for the full year. Our priorities for 2025 are clear. First, we will continue strengthening our technology-enabled platforms across NEMT, personal care, and monitoring. Second, we will execute strategic financial initiatives and divest platforms to ensure our capital structure supports long-term growth and value creation. Before I dive into this segment, I want to discuss recent steps we've taken to strengthen our capital position. As we approach the end of 2024, it was critical for us to proactively address cash flow and working capital timing risks, specifically as we navigated the accelerating market turmoil. Strengthening our capital position became a key priority, and we worked diligently to reach an agreement across our capital structure and lending group. We received strong support from our existing debt holders and shareholders who recognize the value of our strategic transformation and the underlying enterprise value of each segment. As part of this effort, we secured an incremental $75 million term loan and $30 million in new second lien notes, providing financial flexibility to drive operational improvements and execute on our strategic priorities. While the $30 million in new second lien notes require shareholder approval on March 13th of this year, we are confident that we obtained the approval and believe this. To further accelerate our transformation, we appointed Chad Sandler as Chief Transformation Officer. Chad brings deep experience in large-scale transformations, and his expertise is already proving invaluable as we drive execution and position ModivCare Inc. for long-term success. As we work to prioritize strength in our platform, ModivCare Inc. has appointed Alec Cunningham and David Mounts Gonzales to our board of directors effective March 7th, 2025. Alex's appointment relates to the board's previously announced plan to add three new independent directors as part of our contractual obligation with our lenders, with the first appointment being Aaron Russell, whose appointment was announced in February. As a significant shareholder, David's appointment brings valuable, effective, directly aligned with the broader interest of shareholders and the company. These appointments build on a recent track record of adding key areas of expertise to the board that will drive ModivCare Inc.'s strategy and execution. Mr. Cunningham is a proven public and private company CEO with significant payer experience with Medicaid, Medicare, and other public-funded health care programs, who has delivered excellent operational results in development and turnaround situations. He has unique talent and deep expertise in the policies and operations of government-sponsored health insurance programs and risk-bearing providing organizations. As the former CEO of WellCare Health Plans, he has strong expertise in managed care and operation transformation. Mr. Mount Gonzales' appointment to the board represents a collaborative step forward with shareholder interest, aligning closely with shared goals of enhancing operational efficiency, technology innovation, and disciplined financial management. His deep expertise in AI, analytics, and strategic cost optimization will support the company in driving operational efficiencies and long-term value creation. He's a general partner of AI Catalyst Fund, a significant shareholder in our company, which invests in public companies to enhance their use of artificial intelligence and advanced technology through strategic engagement. He's an experienced chief executive and public company director, having served as CEO of InMar Intelligence, a data-driven commerce and analytics platform, from 2010 to 2022, including as chairman from 2014 to 2022. Previously, he held senior leadership roles at Domino's Pizza as EVP of supply chain and CFO, driving innovation in technology, product, and logistics, and at UPS, where he held multiple executive positions, including international county manager, corporate controller, and SVP of UPS Capital. Alex and David's perspectives and expertise will provide immense value, including helping to improve the company's service quality and outcomes, enhance our competitive cost structure, and deliver prudent profitable growth. We are excited to have them both on board. ModivCare Inc. is committed to a continuous refreshment process designed to provide board membership that is comprised of directors with a range of skills and experiences that complement the company's strategy and execution. We have engaged advisers and established the Strategic Alternatives Committee on the Board to ensure a disciplined and strategic approach to our divestiture process. After the seismic shifts of 2024 and the significant progress in our transformation, now is the optimal time to monetize select segments and unlock value. And for the first time, we have launched this process. Extensive discussions with third parties have reinforced the strong market demand and competitive positioning of our monitoring platform, which is the most advanced in our divestiture process. With cutting-edge technology and clinical capabilities, a highly attractive member base, and recurring revenue streams, interest from potential buyers is strong and deep. We are executing strategically while maintaining measured speed, ensuring we maximize value creation for all stakeholders. Beyond market monitoring, we are unlocking significant value in our personal care services segment and non-emergency medical transportation platforms, as well as through our equity investment in Matrix Medical. PCS is also uniquely positioned with a centralized, standardized operating model and a single technology platform, making it highly scalable and attractive for potential monetization. This structure enhances efficiency, compliance, and service quality, reinforced and strategic value within the health care system. Meanwhile, our NAMT platform and Matrix Medical investment continue to be growth drivers, benefiting from strong market demand, operational improvements, and our proven competitive position. Each of these businesses represents a compelling opportunity for long-term value creation, and I will provide further insight into their strengths and future potential later in this presentation. Turning now to the review of our business segments. To set the stage for our NEMT segment, no area felt the unprecedented external pressures of 2024 more acutely. While we met our operational goals, Medicaid redetermination had a significant impact and driving industry-wide volatility. Despite these challenges, we executed effectively, advanced competitive transformation initiatives, and took decisive action. The volatility and uncertainty are behind us, and we are poised to further expand as the largest and most advanced. We are executing across the entire NEMT value stream, from a transformed go-to-market strategy that continues to drive sales wins and strengthen our client relationships, to high-tech and high-touch solutions that enhance member satisfaction while reducing transportation and operating costs. For example, in the fourth quarter, our transportation and call center per trip expenses remained near record lows, demonstrating the effectiveness of our automation and AI-powered trip assignment technology. As noted earlier, our payer clients faced extraordinary external pressures in 2024, and those challenges inevitably reverberated through us. While we continue to add new contracts and expand relationships, the financial strain on our clients resulted in the attrition of select contracts. Unfortunately, two significant contract losses accounted for a net business loss of approximately $200 million in annual revenue for 2025. These losses were situational, driven by market turmoil rather than our competitive position or performance. In fact, we were performing strong in both. They stem from clients caught off guard by rising cost pressures. One was a Florida-based plan we've discussed on past calls, and the other was a national payer that scaled back NEMT services due to the financial strain from losses in its Medicare Advantage business. In 2024, secured approximately $90 million in new business from our managed care organization. I will address state business next. And in just the first two months of this year, we are already outpacing that momentum, with a win rate exceeding 90% in the MCO segment over the past two years. Simply put, when we pursue MCO business, especially within Medicaid, we win because our clients recognize their performance, trust our execution, and believe in our ability to drive continued differentiation. With a total addressable market exceeding $6 billion and an annual MCO revenue base of $1 billion entering 2025, our identified active pipeline already surpasses $300 million in annual contract value. Notably, this represents only new business within management and Medicare Advantage. We expect to convert many of these opportunities in 2025 and materially recover from the net $200 million revenue attrition. Finally, we look forward to the contributions of our new director, Alec Cunningham, who historically has been with one of our biggest customers. Alec can help make sure we understand our customers' greatest needs. Now turning to state Medicaid, where we have been the dominant player for decades, this segment remains a cornerstone of our NEMT business. The state-based total addressable market, a subset of the $6 billion overall NEMT market, is $2 billion, of which we currently hold 39% or $780 million. As a reminder, state contracts are typically larger than MCO contracts, and states prioritize proven performance, local presence, and large-scale capabilities when awarding contracts. In 2024, only one state contract transitioned away from an incumbent, and that was us, winning the remaining regions in a northeast-based state. A testament to our track record in existing regions and the strong preference for scale encompass. Looking ahead to 2025, we expect multiple largely due to state delay RFPs amid market disruptions caused by Medicaid redetermination. Our well-established long-term partnership with state agencies, proven track record in quality and access, and strong commitment to serving diverse populations, community, small businesses, and health care providers position us strongly for the successful retention of our NEMT business. I also want to provide additional detail on our state clients as they emerge from the challenges of 2024. Our largest client will likely take part in our RFPs in 2025, and they remain highly supportive of our services and the commitment we have to their statewide diverse communities. As with many other state clients, we have been collaborating with them on re-underwriting their membership, and we expect a price increase over the next few months. Beyond 2025, we anticipate new state opportunities emerging in 2026, providing a strong pathway to expand our differentiated state-based NEMT footprint and further solidifying our market leadership. We operate the broadest national network, enabling us to serve diverse populations across urban centers and rural communities with specialized care options, including wheelchair-accessible vehicles, stretcher transport, and high-touch support for complex cases. Also, as the largest NEMT user of rideshare services, like our partners Uber and Lyft, we seamlessly integrate flexible, cost-effective options while also leveraging public transit and family-provided transportation when most efficient and preferred. Simply put, we have the largest and most diverse transportation network, a critical differentiator for large MCOs and state agencies seeking scale, flexibility, and reliability. Our technology-driven platform combined with the hyperlocal team presence also allows us to optimize trip assignments, allocate resources efficiently, and deliver high-touch support when needed. This ensures every trip is assigned to the right mode of transportation, whether rideshare, specialized tram transport, or community-based solutions, maintaining cost efficiency and member satisfaction. This strategy is delivering tangible results. We look forward to the contributions of David Gonzalez, who has spent the better part of his career optimizing transportation networks and using technology and AI to drive efficiencies. We have consistently met or exceeded key quality metrics, including on-time performance and missed trip reduction, while also driving down costs. Our cost per trip moved from $42 in Q4 2023 to $40 in Q4 2024, a significant driver allowing us to achieve savings of $35 million in 2024. Beyond transportation, we have digitally transformed member engagement. A significant portion of our membership now uses self-service tools, including our top-rated mobile app, AI-powered call box, and integrated client facility portals. Additionally, we have seamlessly integrated with client systems, allowing them to manage transportation directly through an API connection to our benefits management platform. This ability is unique and of high value to our clients. Member self-service adoption has reduced our call-to-trip ratio from 42% in Q4 of 2023 to 34% in Q4 of 2024. By combining automation, self-service, and seamless integration, we are enhancing the member experience but, again, also improving our cost structure. As we all know, our shared risk contracts helped protect P&L margins post-COVID, but they also created significant working capital challenges. With settlement cycles extending from six to eighteen months, we had to wait for reimbursement after delivering higher trip volumes at inflationary-driven costs. This disconnect is less pronounced moving forward. We recognize the need to improve the cash flow conversion timing by shortening settlement to less than three months. Beyond cash flow improvements, we also aim to remove the win-loss dynamic between us and our clients relating to trip volume and utilization risk. As a result, our preferred contract model moving forward is a fee-for-service structure, which minimizes utilization exposure while also significantly reducing settlement time. To ensure alignment on cost, quality, and efficiency, we have also incorporated performance-based incentives into these contracts, reinforcing mutual success for both us and our clients. Importantly, we are taking a measured approach to transition to these contracts, ensuring that we prioritize pricing and margin integrity over speed. Client objectives. We recognize the need for flexibility as contract structures vary in a competitive market. We're working with our largest MCO partners and anticipate we have approximately 25% of our revenue moving to this contract structure. The shift to this shorter cash flow conversion structure will neutralize significant working capital shifts or uses of cash that we historically experienced. Again, this is behind us. Our personal care services segment demonstrated steady improvement through 2024, ending the year on a strong note. In the fourth quarter, we achieved adjusted EBITDA of $17.5 million, which included a couple million dollars of state-based quality incentive. In 2024, we transitioned from a decentralized model to a centralized hybrid approach that combines centralized efficiencies with local market expertise. With new PCS leadership, the team delivered more predictable results supported by a calibrated business management framework and rate increases that strengthened our financial position. These foundational improvements position us for greater stability and sustained growth in 2025 and beyond. Our PCS business is one of the largest personal care providers in the northeast. This scale and density, combined with a single operating platform and company-wide engagement tools, have created a differentiated and scaled platform in an industry that has historically been fragmented. We continue to believe in the long-term value drivers behind serving the nation's chronic and aging population in their preferred low-cost home setting. This is where health care goes and will continue to go. While our transformation is still ongoing, we have laid the groundwork for sustainable growth in 2025. MBI. We have direct access to thousands of high-risk members, and for our payers and providers, very hard-to-reach members. Coupled with technology and clinical oversight, personal care is a very valuable service, and this value will only continue to grow. In the remote patient monitoring segment, 2024 was a year of strategic investment and integration. Today, our monitoring platform combines a stable, recurring revenue stream from our Medicaid LTSS PERS members alongside digital and clinical capability. Our PERS business provides a national footprint, best-in-class customer service, and valuable engagement tools that help close gaps for vulnerable and at-risk members. With the launch of our new chronic conditions monitoring and virtual care management services, which include clinical oversight, we closed deals with three national managed care plans. Our investment has allowed us to expand beyond traditional monitoring by developing digital and clinical solutions that deliver the right care at the right time with the right resources. This service allows us to bill as a provider, close gaps in care, and expand the scope of services provided to appropriately meet the level of acuity needed based on the member's health condition. Importantly, these innovations allow us to unlock the opportunity available in MLR budgets versus waivers or supplemental benefits. The first customer launched in Q1, and the second is expected to launch in early Q2. Based on the expected outcomes, we believe we will rapidly expand in the launch markets and in addition to markets served by these managed care plans. Next, I want to address our approach to guidance. Given the ongoing strategic review by the company board and advisors, we have deliberately chosen not to provide formal fiscal 2025 guidance at this time. On one hand, we wanted to stake a clear position, demonstrating how we successfully navigated 2024's challenges and how we are building upon the strong foundation of our scale platform. On the other, we remain laser-focused on strategic investments in executing our divestiture processes with discipline to maximize long-term value. With material portfolio changes ahead, introducing guidance now would be premature as we carve out businesses and refine our strategic focus. Instead, our priority is strengthening our platforms in 2025, ensuring we exit the year with a solidified capital structure and a more focused, agile health care services company. Before I turn the call over to Barbara, I want to summarize four key takeaways. One, we have the liquidity needed to execute our strategy with confidence. Two, we not only navigated an unprecedented period in healthcare, but we emerged stronger, reinforced all three of our businesses. This progress is evident in the underlying drivers and metrics to segment. And three, we exercised patience and prudent judgment, ensuring we launched a sale process at the optimal time. Now with the stability restored and our platform solidified, we are well-positioned to maximize value. And lastly, we will continue execution and deliver results through 2024 and beyond, driving long-term stakeholder value and shareholder value. With that, I'll now turn the call over to Barbara, who will walk through our financial results. Barbara?
Barbara Gutierrez: Thank you, Heath, and thank you all for joining this evening's call. During the call, I'll provide additional details on our recent capital raise, highlight our full year performance, and review our fourth quarter results in a little more detail. Starting with our capital raise. On January 10, we raised $75 million of additional term loan priced at SOFR plus 750 maturing in January 2026. Subject to shareholder approval on March 13, 2025, we have secured an incremental $30 million of new second lien notes due in 2029. This capital provides liquidity as we work to normalize working capital in the near term. Additionally, the covenant holiday for Q4 2024 through Q2 2025 offers relief while we complete our strategic review and focus on delevering. Now turning to our full year highlights. As Heath indicated, 2024 was a year of significant and unprecedented challenges. For the full year 2024, revenue was $2.79 billion, a slight increase of just over 1%. PCS full year revenue increased by 4.1%, driven by an increase in organic hours of 1.4% and reimbursement growth of 2.6%, while NEMT and monitoring revenue remained flat. Consolidated adjusted EBITDA was $161.1 million, reflecting a decrease of approximately 20%, primarily driven by a $28 million impact from Medicaid redetermination, a $16 million impact from net NEMT business development activities, a $10 million impact from contract and utilization mix in NEMT, lower PCS and monitoring adjusted EBITDA driven by increased service expense, and investments in product, technology, and innovation of approximately $8 million. These impacts were partially offset by net operational cost efficiencies of $35 million. Throughout 2024, we have focused on improving efficiencies, reducing costs, and better aligning revenue with expenses. Efforts we believe will lay a strong foundation for delivering results in 2025. Next, a review of our fourth quarter results. In Q4 2024, total revenue was $702.8 million, flat compared to Q4 2023. Gains in our PCS business were offset by slight declines in our monitoring and NEMT segments. Consolidated net loss was $23.5 million, while adjusted net income was $2.7 million and $0.19 per share. Adjusted EBITDA was $40.4 million or 5.7% of revenue. Our NEMT segment, representing 70% of total revenue, generated $495 million in revenue, relatively flat year over year and sequentially. Average monthly members of 29.4 million decreased by approximately 11% year over year, but trip volume increased by 8.5% compared to a year ago and 1.3% compared to the third quarter as health care utilization trends continued upward post-pandemic and post-redetermination. These trends resulted in a utilization rate of 10.8% in the quarter, an increase of 37 basis points sequentially and 192 basis points year over year. Revenue per trip decreased by about 1% sequentially due to trip mix. Gross margin decreased sequentially by 16 basis points to 11.2%. Cost-saving initiatives resulted in a reduction of total service expense per trip of approximately 1% sequentially. Purchased service expense per trip decreased by 1% quarter over quarter and 4.3% year over year to $40.42, driven by our multimodal initiative. Payroll and other expense per trip of $5.67 remained at record low levels, 18% lower than the prior year. NEMT reported an adjusted EBITDA of $27.6 million, with a sequential decline of 64 basis points in the adjusted EBITDA margin to 5.6%, primarily driven by utilization effects while Medicaid redetermination had minimal sequential impact on membership. For the year, Medicaid redetermination resulted in a loss of approximately 4 million members and $28 million of adjusted EBITDA, which was in line with our expectations. Our personal care segment represented 27% of total revenue. Revenue increased by 3% year over year and decreased by 1% sequentially to $186.6 million, driven by 3.5% growth in revenue per hour, slightly offset by a 0.5% decline in the number of total hours. 1% of the revenue per hour increase resulted from a discrete payment of $2 million related to state-based quality incentives. PCS adjusted EBITDA was $17.5 million or 9.4% of revenue, including the state-based quality incentive payments, which we do not expect to reoccur at similar levels in 2025. Remote patient monitoring represents 3% of total revenue but 16% of our adjusted EBITDA. Revenue of $19.2 million decreased by about 1% sequentially, primarily due to churn in our MA membership. RPM adjusted EBITDA was $6.8 million with a 35% margin. Turning to the balance sheet. During the fourth quarter, free cash flow was $24.7 million, consisting of net cash provided by operating activities of $30.0 million and capital expenditures of $5.3 million. We ended the year with a net contract receivables position of $95.2 million compared to $63.1 million last quarter and $26.5 million a year ago. In 2024, net working capital generated by contract receivables and contract payables decreased $68.7 million, driven by repayment of contract settlements during the year. As Heath indicated, we're taking a thoughtful and strategic approach to renegotiating our shared risk contracts, balancing pricing terms and the timing of working capital. We ended the year fully drawn on our revolver with a balance of $269 million and with $113 million in cash. As Heath mentioned, due to our current strategic review, we are not providing guidance at this time. However, we want to provide some color on our current views of the key business drivers. For NEMT, we expect contract losses entering 2025 will be partially offset by new wins, which will be weighted towards the back half of the year. We also expect positive movement in contract pricing and further improvements in operating and G&A cost efficiencies. As a reminder, our NEMT quarterly results are highly sensitive to the timing of 2025 pricing activities in the early part of the year, and any shifts in timing may influence the overall financial outcomes. In our PCS business, we expect modest organic hours growth, excluding program changes to the CDPAP business in New York. And in monitoring, we expect modest volume growth driven by Medicaid LTSS referral volumes and growth in clinical programs, offsetting member attrition driven by Medicare Advantage supplemental benefit-related changes. As we emerge from the extraordinary challenges of 2024, we have made meaningful and much-needed moves to streamline our operations, improve our working capital dynamics, and secure additional capital to better position the company for the long term. I look forward to keeping you posted on our progress in the year ahead. With that, we'll open the call to questions. Operator?
Operator: Thank you. We'll now be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question. Thank you. Our first question comes from the line of Brian Tanquilut with Jefferies. Please proceed.
Brian Tanquilut: Hi. This is Megan Holton from Brian. Hi, Megan. Hi. How are you? First, as you think about ModivCare Inc.'s exposure to Medicaid and as you've redone your NEMT contracts, if Medicaid budgets get squeezed given the current proposals coming out of DC that we're seeing, how are you guys thinking about how that translates into the fee-for-service contracts for the NEMT business?
Heath Sampson: Yeah. So first off, with our personal care and monitoring business, those populations are primarily LTSS members, the sickest people, and we don't expect any cuts to that population. Where there is risk is in the NEMT business, like you said. But for us, we expect that if any Medicaid members go away because of a cut or because of eligibility changes, those will be the most healthy and are likely not users of NEMT. And the way it works, how we reset our payments and how we're negotiating now is we look at that mix of members and the related population, and that's when the re-underwriting happens. I'm in the middle of doing that. So, in addition, if it is way off track, that risk is within our full risk contracts, which right now is about less than 20%. And within those contracts, we're in the middle of negotiating a lot of those and resetting those. And also, if it was off, there are provisions down the road to ensure that we can reprice. So, yes, there will be pressures, but with our contract structures, specifically within fee-for-service and shared risk, those share, and we expect the economics to reset if there's any pressure. And then, again, in our full risk contract, representing, again, about 20%, we expect that we will be able to reset those at the appropriate economics as we're in the middle of that right now.
Brian Tanquilut: Okay. Got it. And then just as a quick follow-up, can you give us an update on the sale process?
Heath Sampson: Yeah. So you heard a lot in our script where we are. You know, the good thing for us is that we are ready now coming out of the market and have done a lot around all our platforms, specifically with the monitoring PCS. And with the monitoring, I said we've started. We've had great discussions, deep discussions, the value in the platform that we built. We're excited about it. Timing, I won't get you there, but we'll update you each quarter as we move along because we're really encouraged about the interest, and we'll be patient to ensure we get the right value.
Brian Tanquilut: Thank you.
Operator: Thank you. Our next question comes from the line of Pito Chickering with Deutsche Bank. Please proceed.
Pito Chickering: Hey, good afternoon, guys, and thanks for taking my questions. First one is here on NEMT. Like you talked about some good contract wins for 2025. First months to the year. I just think it's changed quickly, but with the volatility in MA, can you just tell us the number of members that you finished the year in both NEMT and also monitoring and so where it is today? I just wanted to see if there are any changes with your MA customers from, you know, the end of the year to the beginning of this year.
Heath Sampson: Yeah. So you're right. So we did have significant reduction in our MA membership on NEMT. You can see in the page on page four of the supplemental deck, if you're on the list of 2024, you can see the number percentage of managed Medicare at 16%. But that would be significantly down, less than 10%. Is the right way to think about it, Peter. On the transportation side. That being said, actually do have a lot of our pipeline for different payers that are out there with our kind of rebuild MA platform. So I do expect we're at the bottom of that. Expect it to uptick as we go through 2025. No. So the other exposure, as you know, within the PERS market as a whole, I think many of our competitors were much more concentrated. Do the MA business and a lot of it went away as, you know, the two largest payers completely stopped their co's benefit. Four key for us, the one pair that we do have does see the value in it, but they have cut. So we're about, I don't know, five a quarter? Yeah. I think we're a little bit less than that, about 20%. Of that. But it will come down a little bit this year. It'll kind of weed off or level off probably in that ten percentage range, you know, in the but you can see for us, and that was a big driver for our kind of, you know, flat growth, and we're actually expecting that kind of flat growth. We've been monitoring because we're outgrowing that with our LTSS service business as well as our new contracts with an innovation. So long story short, we're able to manage through the volatility in MA. And then as we come into 2025, we do put this more opportunity as well.
Pito Chickering: Okay. Okay. So just to clarify, for NEMT, 4Q to 1Q, is 4Q a good start rate for where we should be thinking about first quarter?
Heath Sampson: With sort of no. It will be no. It'll be less than that. It'll be down. We're in that we were at that percentage range of 16% at Q4. And we'll be kind of less than 10% as we enter Q1.
Pito Chickering: Okay. Great. Great. Thanks a lot. And then the 10-K here just right before this call, you know, it looks like the Matrix had and that loss that sort of $18.9 for a year. So can you give an update on sort of sort of how Matrix is operating fundamentally that'd be great.
Heath Sampson: Yeah. What that management team has done over the last couple years since it's been in place, a new team and one of the big things that they focused on was ensuring that we've got the technology to ensure that they nursing national nursing platform can do things efficiently and effectively. So we really kind of built a good team and a good mousetrap there. But similar to what is happening across many health care services company and us too that have been exposed to MA, they have the same challenges. And have the same challenges in 2025, because it's kind of the largest customer of theirs probably got hurt the most. So we have a good team, a good process, but we're gonna be patient and ensure we work through this kind of lower membership time. So we're patient with that, and I you probably your next question is what's the what's the strategy with us and Frasier on on a potential sale, and that's not a priority right now. We'll update you as we go through each quarter. Our priority is to support the management team and ensure that this great asset executes and gets back to growth.
Pito Chickering: Great. And then last quick one for for me on PCS fourth quarter negative organic hours. Was that a demand issue or is that a supply issue, you know, with labor and kind of how should we be thinking about that sort of that into 2025. Thanks, guys.
Barbara Gutierrez: If you know it's it's Barb. It's a little bit about in Q4. So the PCS hours and a little bit of a mix shift for us.
Heath Sampson: Yes. The PTS hours growth year over year is both been selling. In line with market actually. So one of the things we're having out there is public. So we expect that to continue into 2025. For us, the big thing in PCS is to continue to execute on what the financial team has done there, and I'll and for us, it really is for for the Pennsylvania reimbursement rate increase. It's actually no planned yet, but we do expect that will happen sometime. Over the next, like, twelve months. That's a critical part to our to our kind of close strategy on that. On the EBITDA side. But again, in that business itself, what we've done over the last couple years set up this unique platform where you can start buying and touching an acquisitions. And that's been strategy and many of our competitors have done that. And we've done that and built that platform. Again, that's obviously not what we're gonna be doing, we're gonna be ensuring we're executing and then potentially sometime down the road if it makes sense to monetize that asset.
Pito Chickering: Alright. Great. Thanks so much. Bye.
Operator: Thank you. Our next question comes from the line of Bob Labick with Securities. Please proceed.
Bob Labick: Hi. Good afternoon. It's actually Lee Jagoda for Bob. Hi. So I guess during your remarks, Heath, you mentioned on the NAMT side your largest state contract is going to be up for RFP in 2025. Then you also mentioned you expect a price increase over the next few months. I assume those are two separate things. And to the extent that they are, as you look to the RFP, can you give us any sense for timing of that RFP? And if you expect any change in the contract structure on a potential renewal?
Heath Sampson: Yeah. I don't expect any change in the contract structure. We've had that structure for many years. Again, we've had this client for many years. That's just out there. A few weeks ago. Meeting with them and the Medicaid director. And we performed well, had a strong relationship. And I had some very optimistic that we're gonna be able to renew that. And then the pricing yeah. The pricing, just like all the clients, full risk contracts and our state contracts, have the same reset coming out of redetermination. And that's why we need the repricing to be in line with the proper economics to ensure we're delivering. So it is separate, and we expect to get the pricing there, like I said, through over the next couple of months. And then when we RFP, that's it we only have kind of two RFPs in the state business that we have now. We'll see. But we do expect that it will come here relatively soon. The next couple of months. Again, for us, we feel good about it. And we'll update you as we get the RFPs in the door and when we renew and win them later on in the year.
Bob Labick: Great. And then just one more on cash flow. I know we're not giving guidance for 2025. As I think about the cadence of free cash flow throughout the year, specifically related to the prior your prior comments around sort of a first half usage and then back to positive free cash flow in the back half. Is there any change to that?
Heath Sampson: No. You hit it exactly. We're consistent with that. Maybe it's maybe a few more highlights that may help you kind of model stuff up because we feel really good about how we've exited the year and our confidence in understanding our contracts. One, moving to the right fee-for-service contract. Then also as we as we continue to settle up on our shared risk contracts, the volatility of the past is out there, so we have good understanding and perspective. One thing that I will say, you know, we'll probably get this question later on, is our contract receivable? And our contract payable, which you can see think we have in the supplemental deck. On page fifteen. You can see where those are. We're in a large net receivable. The right way to think about that net receivable we're actually gonna get I don't know, approximately 30% of that. But what have a benefit from contracts receivable and contracts payable. In 2025. So that's great and that's new. And I noticed that a lot of confusion and lack of predictability around that. So that's probably the most beneficial item. Even still, we will have still shared risk contracts and we're putting tiny for that this year, though we're hopeful that we'll get more converted to fee-for-service. And I expect even even in 2026, we'll kind of unwind the remaining benefit k. With that delta as well. So that's an important point that I think will help fill out the big open item that a lot of people have because everything else is pretty straightforward. Maybe the only other thing that would help you model cash flow. And why I'm giving this, it goes to my comment before why I'm really confident in our ability to have the liquidity we need. Also have CapEx. So typically, we've been around $30 million. We're actually a little bit higher planning for that this year. To ensure that we are investing in our platform across all our services, but specifically within NEMT to ensure that we have the differentiation. Long story short, those are a couple key points. That give us confidence and maybe will help model out why we seem good about our ability to generate cash and then have liquidity for the full year.
Bob Labick: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Raj Kumar with Stephens. Please proceed.
Raj Kumar: Hi. I was just sticking to NEMT. I'm just, you know, just kind of on a question on the $35 million of savings generated in 2024. Just kind of trying to get that number in terms of how that you know, kind of posted up to the cumulative target that you guys kind of gave out in the back half of 2023 and, you know, kind of what's kind of remaining in 2025.
Heath Sampson: Oh, okay. Well, here I'll answer maybe see if I heard your question correctly. So, yeah, we had $35 million kind of bridging from 2023 to 2024. And that was what we expected. Again, that's cross. With our transportation expense as well as our automation within our call to ship ratios. So that $35, we actually you run rate that you'd add on another kind of $8 to $10 million of runway. Going into 2025. And then, again, actually, we're not we expect, again, we've been on the beginning of this journey, expect we will continue to get cost out from incremental actions as well. But that's the math, $35 this year, a run rate of, call it $9 million better on that. Just run rating of the 2025.
Raj Kumar: Okay. And then as a quick follow-up, I think you spoke to maybe 25% of kind of your revenue now being shifted towards fee-for-service. So just clarification, that's as of, like, quarter to date. And, you know, what or is that, like, full year and kind of what how we how should we think about the transition over 2025 and 2026? From, like, the shared risk to fee-for-service.
Heath Sampson: Yeah. So from what we have planned, and I think this is the right way to do this. We're only planning for having that 25% converted to fee-for-service. The most of our clients that are on shared risk are in the middle of those discussions and I think they'll see the value in it? But we're not planning for that because it's the prudent thing to do. For working capital purposes. So even with that, again, I think there's other liquidity standpoint. So and that all happened in Q1. Those that 25%, one kind of earlier and one a little bit later so that will that will flow through. That gets back to and I and I the call I had earlier, maybe this will help bring in what the impact is. And the simplest way to see that again is that we expect again a benefit in 2025 from our net contracts receivable. We won't be using capital we'll be gaining capital within those two amounts. And part of that is because of the contribution of that fee-for-service of 25%.
Raj Kumar: Okay. And then one last one on just just kind of how we think about the, you know, year over year margin process and just all the moving parts. Yeah. You know, kind of given the contract losses and but partially offset by new business. So can I end then the framing of you know, shared risk to fee-for-service? So maybe you can help us bridge you know, year over year, you know, margins for that NEMT business. And how we should kind of think about it.
Heath Sampson: Yeah. So I think the right way to think about it because I know we haven't provided guidance yet. 2025 is really because of that. Loss business, and yes, we are continuing to add new business and, yes, we're continuing to accost though. But I would model kind of the same margin. Is the right way to think about it? But I do as we exit 2025. I do expect margins to normalize to what we've said historically. Not to that 10 to 12% of EBITDA or that 8 to 10%. Is the right way to model as we go to 2026 for NEMT. But be relatively flat year over year to, like, able to do it. Gosh. Hi.
Raj Kumar: Great. Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to pass the call back over to Heath for any closing remarks.
Heath Sampson: Well, I'd like to have a special thanks to our teammates. They've endured a lot and satisfies a lot, surprising all of us of thank you to all the teammates out there. And, of course, thanks to our lending partners, and our committed equity holders, I really appreciate everything that's been done and I look forward to Q1 and showing the progress that we've made off the stable base of appreciate it. Have a wonderful night, and we'll talk to you all soon and next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.